Operator: Hello, and welcome to the Acushnet Company Fourth Quarter 2025 Earnings Call. My name is Josh, and I will be the moderator for today's call. [Operator Instructions] At this time, I'd like to introduce your host, Mr. Cameron Vollmuth, Director of Investor Relations. Cameron, you may proceed.
Cameron Vollmuth: Good morning, everyone. Thank you for joining us today for Acushnet Holding Corp's Fourth Quarter and Full Year 2025 Earnings Conference Call. Joining me this morning are David Maher, our President and Chief Executive Officer; and Sean Sullivan, our Chief Financial Officer. Before turning the call over to David, I would like to remind everyone that we will make forward-looking statements on the call today. These forward-looking statements are based on Acushnet's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations. For a list of factors that could cause actual results to differ, please see today's press release, the slides that accompany our presentation and our filings with the U.S. Securities and Exchange Commission. Throughout this discussion, we will make reference to non-GAAP financial measures, including items such as net sales on a constant currency basis and adjusted EBITDA. Explanations of how and why we use these measures and reconciliations of these items to the most directly comparable GAAP measures can be found in the schedules in today's press release, the slides that accompany this presentation and in our filings with the U.S. Securities and Exchange Commission. Please also note that references throughout this presentation to year-on-year net sales increases and decreases are on a constant currency basis, unless otherwise stated. As we feel this measurement best provides context as to the performance and trends of our business and when referring to year-to-date results or comparisons, we are referring to the 12-month period ended December 31, 2025, and the comparable 12-month period in 2024. With that, I'll turn the call over to David.
David Maher: 2 Good morning, everyone. Cameron has been with our team for a while, and it is my pleasure to welcome him to his first quarterly earnings call. We appreciate your interest in Acushnet and look forward to sharing our 2025 results and future outlook today. As a starting point, we are pleased with our fourth quarter performance as our teams executed our year-end plans and did good work preparing for the 2026 season and several product launches. As Sean will outline, revenues were up 7% for the period, and we generated nice momentum in our operating segments. Turning to Slide 4. For the full year, Acushnet achieved net sales of $2.56 billion and adjusted EBITDA of $410 million in 2025, growth of 4% and 1.5%, respectively. These results were made possible, thanks to the talented and dedicated associates who make up Acushnet and our committed trade partners who are on the front lines wherever golf has played. There are several highlights within these operating results, led by the Titleist Golf Equipment segment, which grew 6% on the year as investments in product development, precision manufacturing and fitting paid dividends across our golf ball and golf club businesses. As you will note from our revenue growth, the company is benefiting from recent capacity expansion projects, which will continue with a focus on cast urethane golf ball production and custom golf club assembly. In 2025, New Pro V1 posted gains across all regions, contributing to a 4% increase in golf ball net sales on the year with EMEA, Japan and the U.S., our fastest-growing markets. We are pleased with increasing demand for our AIM or alignment integrated marking golf balls. And operationally, we continue to benefit from the expansion of our automated custom imprinting capabilities, which is driving efficiencies and reducing lead times. Within equipment, 2025 was a strong year for Titleist Golf Clubs, which grew more than 7%, led by the successful launch of new T-Series irons and steady growth in metals and Scotty Cameron putters. Our Vokey wedge franchise also posted strong results in year 2 of the SM10 product cycle. Ongoing investments in product development and our global club fitting network frame how we characterize the Titleist Golf Club opportunity. Acushnet gear business increased 6% on the year with especially strong increases by Titleist Gear in EMEA and the U.S. and growing momentum for Club Glove travel products. Now moving to FootJoy. We are pleased with the direction this business has pointed. Sales were down 1%, mainly due to reduced discounted sales versus last year. On the strength of products like Premiere and HyperFlex, we are seeing a favorable mix shift towards our premium high-performance footwear franchises. And the FJ mobile FitLab program is delivering a value-added fitting experience, which helps golfers select the best footwear performance and comfort option for their games. And growth in gloves and apparel added to FootJoy's momentum and improved profitability for the year. Rounding out our portfolio, we continue to generate strong growth with our shoes brand up 9% on the year, led by double-digit gains in the U.S. Titleist Apparel also delivered a promising year, led by growth in China and our business in Korea. As to Acushnet's regional performances, full year 2025 results affirm our previous commentary about the Titleist Equipment segment, posting gains in all major regions, led by the U.S. and EMEA and softer conditions in Japan and Korea, where our equipment gains have been offset by declines in the correcting apparel and footwear categories. Acushnet's strong financial performance in 2025 supported ongoing investment across our business and the company's commitment to returning capital to shareholders. For the year, dividend and share repurchases totaled $268 million, bringing our total return over the past 4 years to more than $1.1 billion. And furthering Acushnet's commitment to our shareholders, I am pleased to announce that our Board of Directors has approved an 8.5% increase to our quarterly dividend payout in 2026 to $0.255 per share. This marks the ninth consecutive annual dividend increase since the program was initiated in 2017. These actions reflect the Board's confidence in Acushnet's ability to execute and their positive outlook towards the company's leading positions within the structurally healthy golf industry. As you will note, the company remains focused on investing to position the company for future growth while also returning capital to shareholders as appropriate. Now looking ahead, we start by pointing to the game's global momentum with worldwide rounds projected to have increased about 2% in 2025 with growth in EMEA, the U.S. and Japan and a flat year in Korea. In the U.S., our largest market, the number of golfers again increased, contributing to this rounds of play momentum. The global golf industry, as defined by golf courses, teaching centers and golf retailers continues to be healthy with strong financials supporting ongoing investments as the industry adapts to meet ever-evolving golfer preferences. Within Acushnet, we are enthused by our new product pipelines and sustaining momentum our brands carry into 2026. As is customary in even numbered years, we successfully launched a comprehensive lineup of new Titleist golf balls in this first quarter, including Pro V1x Left Dash and new AVX, TourSoft and Velocity models. It's also a busy year for Titleist golf clubs with new Vokey SM11 wedges and a new lineup of Scotty Cameron mallet putters launching in Q1. Both products debuted on worldwide tours earlier this year and initial responses have met our very high expectations. Plans are well underway for our new driver launch in late June earlier than our customary Q3 timing. Titleist drivers are #1 on the PGA Tour, and we are enthused by the great work from our product development and operations teams to provide added flexibility around launch timing. We will share more details about this product on our May call. One of our key narratives in recent years has been our focused investments in golf equipment R&D, operational efficiencies and capacity expansion and point to these investments as drivers to our recent growth and confidence in our ability to deliver enhanced innovation, product development and best-in-class golfer experiences, core attributes to the long-term success of Titleist Golf Equipment. Acushnet's gear business is well positioned coming off a strong 2025, and we are planning for growth led by gains in the U.S. and EMEA. Within gear, we pursue exceptional performance and quality to differentiate our products with discerning core golfers. The FJ brand continues to move forward in 2026 as we leverage high-performance Premiere and Pro/SL franchises to strengthen our position as the #1 shoe in golf. And we continually evolve our outerwear and apparel offerings with a focus on our premium segments as we position FJ for the future and manage near-term tariff headwinds. As to our investments in 2026, in support of Acushnet's priorities and our longer-term growth opportunities, we will prioritize strategic capacity expansion and the build-out of our global fitting networks for golf equipment and footwear, expand our B2B and D2C capabilities to new regions and invest in the future of the Titleist Performance Institute, where demand for PPI's golf-specific health, fitness and swing expertise is outpacing our available capacity. Collectively, we expect these investments will support our future growth plans and enable operating leverage over the long term. In summary, we are optimistic about the structural health of the golf industry and are focused on expanding our momentum in the Titleist Golf Equipment segment, strengthening our gear and FJ wearables business and investing in key initiatives that we believe will pay dividends over the next several years. I have confidence in the Acushnet team and their ability to provide dedicated golfers with leading products and services as we seek to build long-term value for shareholders. Thanks for your attention this morning. I will now pass the call over to Sean.
Sean Sullivan: Thank you, David. Good morning, everyone. Turning to our 2025 financial results. Fourth quarter net sales were up 7% when compared to the fourth quarter of 2024, primarily driven by higher net sales in Titleist Golf Equipment. Adjusted EBITDA was $9.8 million, lower than last year's fourth quarter of $12.4 million. Looking at our segments, Titleist Golf Equipment was up 10% in the quarter, largely due to higher sales volumes of our T-Series irons and SM10 wedges, partially offset by lower GT driver sales, which comped against last year's launch. FootJoy net sales grew 4.5% during the fourth quarter, driven by favorable mix shift and higher average selling prices in footwear. Golf Gear net sales decreased 5% in the fourth quarter. Overall, 2025 fourth quarter gross profit of $211 million was up $3 million compared to last year's fourth quarter. As a reminder, during last year's fourth quarter, we recognized a onetime benefit related to a PTO policy change that impacted gross profit by approximately $7 million. Gross profit for the full year was $1.2 billion, up 3% or $34 million, primarily resulting from higher sales volumes, higher average selling prices and favorable mix. Gross margin fell to 47.7%, down 60 basis points from last year, primarily related to incremental tariff costs of approximately $30 million. SG&A expense of $206 million in the quarter increased $13 million compared to the fourth quarter of 2024. Last year's SG&A expense included a onetime PTO policy change benefit of approximately $9 million. SG&A expense of $833 million for the full year increased $32 million or 4% from 2024. Excluding the $9 million onetime PTO policy change benefit, the $23 million increase was primarily related to higher employee expenses, including the support of our fitting initiatives, higher A&P expenses related to product launches and higher information technology-related expenses. Interest expense was up approximately $6 million for the full year due to a year-over-year increase in borrowings. Additionally, we recognized a $17 million charge from debt extinguishment related to our fourth quarter refinancing, which I will discuss in a moment. Our full year effective tax rate was 21.9%, up from 19.2% last year. The increase in ETR was primarily driven by changes in our jurisdictional mix of earnings and a reduced income tax benefit related to the U.S. deduction of foreign-derived intangible income. Moving to our balance sheet and cash flow highlights. We continue to maintain a strong balance sheet and cash flow profile, enabling us to invest back in the business while also returning capital to shareholders. In the fourth quarter of 2025, given attractive market conditions, we proactively strengthened our balance sheet by extending our revolving credit agreement out to 2030 and refinancing our senior notes into a 2033 maturity at a more favorable interest rate. Our net leverage ratio at the end of 2025 was 2.2x. Our inventory levels increased $33 million or about 6% from year-end 2024, primarily due to higher tariff costs as well as increased inventory to support the accelerated metals launch in Q2. Capital expenditures in 2025 were $74 million, in line with 2024. Free cash flow, which we define as cash flow from operations less CapEx, totaled $120 million in 2025. This was down from $170 million in 2024 due to the increased inventory levels, additional spend related to the ongoing implementation of our new ERP system and our 2025 voluntary retirement program. During 2025, we returned $268 million to shareholders, consisting of $56 million in cash dividends and $212 million in share repurchases or approximately 3.1 million shares. As of February 21, 2026, the remaining amount on our share repurchase authorization was approximately $241 million. Turning to our full year 2026 outlook. Full year net sales are projected to be between $2.625 billion and $2.675 billion on a reported basis. On a constant currency basis, our current expectation is that consolidated net sales will be up between 2.5% and 4.5% compared to 2025, with growth across all reportable segments as well as growth both domestically and internationally with strength in EMEA and Rest of World markets. Turning to tariffs. As we discussed previously, we expect approximately $70 million of tariff costs in 2026, reflecting the tariff environment in place prior to the Supreme Court's February 20 ruling. While the decision impacts certain tariff programs, the timing, implementation and durability of any changes remain uncertain. As a result, our 2026 financial guidance reflects the continued assumption of approximately $70 million of tariffs. As we gain greater clarity on the path forward, we will update you with any material changes to our outlook. We expect our full year 2026 adjusted EBITDA to be between $415 million and $435 million. At the midpoint, our adjusted EBITDA margin would be approximately 16%, flat with 2025. As we remain focused on driving sustainable long-term growth, we continue to invest in the business through a number of strategic initiatives, including expanding our global fitting network across our Titleist Golf Equipment and FootJoy segments, strengthening our global B2B and D2C capabilities and enhancing consumer engagement through the Titleist Performance Institute. In 2026, we will continue the implementation of our new global cloud-based ERP system, which we expect to enhance our customer service, supply chain and finance capabilities and support operating efficiencies across the business. As a result, we anticipate approximately $6 million of incremental operating expense in 2026 related to the implementation. Given these investments, we expect full year 2026 SG&A growth, excluding the incremental ERP expense, to be generally in line with our sales growth projections as we believe these initiatives position the company for sustained growth and operating leverage. Looking ahead, our capital allocation strategy remains unchanged. We continue to prioritize investing back in the business and returning capital to shareholders through our dividend and an opportunistic share repurchase program. From a financial policy standpoint, we remain focused on maintaining net leverage at or below 2.25x on average, while allowing for flexibility to account for seasonality and other business needs that may arise. We expect capital expenditures in 2026 to be approximately $95 million. This step-up primarily reflects investments in golf ball manufacturing capacity and increased club production throughout the world as we scale our facilities to support the continued demand for our products. We view $95 million in 2026 as a high watermark with capital spending expected to step down in the subsequent years. In addition, we expect to invest approximately $25 million in capitalized costs associated with our ERP implementation in 2026. Turning to free cash flow. We expect 2026 to improve meaningfully versus 2025 and normalize back towards recent run rates. This improvement reflects the absence of several onetime cash outflows incurred in 2025, which I highlighted earlier. Moving to calendarization. We expect reported first half 2026 net sales to be up mid- to high single digits compared to the first half of 2025, with growth primarily coming from Titleist Golf Equipment driven by the launch of new SM11 Vokey wedges and the acceleration of our new metals launch to June. We expect first half 2026 adjusted EBITDA to also increase mid- to high single digits year-over-year as increased sales resulting from new product launches more than offset the impact of higher tariff costs. From a quarterly perspective, we expect first half growth in both net sales and adjusted EBITDA to be heavily weighted towards the second quarter, again, driven by the Vokey wedge launch and the acceleration of our metals launch into June. We expect first quarter net sales to increase low single digits, primarily related to the strength in our Titleist Golf Equipment segment. In closing, as David mentioned, the golf industry is structurally sound. Our product portfolio is well positioned, and our performance in 2025 reflects strong results by our entire team. We remain focused on execution in 2026 despite continued economic uncertainty with tariffs while also making the necessary investments intended to continue to deliver long-term growth for all stakeholders. With that, I will now turn the call over to Cameron for Q&A.
Cameron Vollmuth: Thanks, Sean. Operator, could we now open up the line for questions?
Operator: [Operator Instructions] The first question comes from the line of Simeon Gutman with Morgan Stanley.
Lauren Ng: This is Lauren Ng on for Simeon. First, we just wanted to get more color on the 2026 product calendar. I know you guys alluded to this earlier in the call. But can you comment on your innovation pipeline for the new driver and new wedge launches?
David Maher: So as we often do, we'll point you in an even numbered year '26, 2 years back to 2024, that's the best like-for-like view of our timing and product pipeline. And that holds true really in golf balls and wedges and putters for this year, also across our gear and wearables business. What's different, and we did call it out, is that we've elected to accelerate the launch of our new driver into late June. Typically, that happens in early August. So more to follow in terms of timing and product details, et cetera, but we wanted to give you that visibility to let you know that the model will be a bit different in '26 solely because of the driver launch timing change. We haven't brought that story to our trade partners. They're aware of it, but we haven't brought the product story to our trade partners. So until we do that, we're going to keep that under wraps.
Lauren Ng: That's helpful. And just a quick follow-up. If you could just give us any more color on your expectations for the U.S. market specifically in '26 and maybe how we should think about volume versus price for these categories.
David Maher: Yes. I'll start and maybe Sean can get into volume, price. But U.S. market, we've said for a while, has been our healthiest and it really starts with a strong consumer base, right? Rounds of play in the U.S. over the last 5, 6 years are up 25% and really driven by, I think we said it 7 or 8 years in a row of golfer increases. So from a golfer base and a participation standpoint, very, very healthy. I might add also, and I've talked about this before, in the late 2016, '17, '18 period, the industry corrected. We saw a contraction of retailers, manufacturers. So the industry got lean and fit, at the end of the 20-teens, and then we've seen this pandemic-led surge the last 5, 6 years. So came in fit and then went on a bit of a growth birth. So we like the fundamentals, industry participants, whether it's golf courses or teaching centers or golf specialty retailers are financially sound. So structurally, the U.S. market is probably our healthiest around the world. But part 2 to that, it's also benefiting from a very, very strong golfer base consumer participation momentum that we've seen over the last handful of years. So -- and the final point I would add is just in terms of how we think about the market today. It's February. The market is from an inventory standpoint, where it should be. Inventories are full and vibrant in open markets and lean and almost dormant in closed markets. That will change here in the next 4, 6 weeks. But no, we're enthused about the U.S. market and really led by what's happening at the golfer base in the U.S.
Sean Sullivan: And Lauren, maybe what I'd add just on a segment basis, really, the focus for you should be in the golf equipment, again, reiterating and reinforcing the 2-year product introduction cycle. So '26 is obviously not a Pro V1 launch year. Historically, we have seen flat to down volumes in the ball business. But if you look at where we're at versus 2 years ago, we feel very good about where the golf ball business is performing and delivering. And then on the club side, again, you see the strong growth we experienced in '25. But if we look at volumes versus 2024, we expect good growth from the club business with the metals launch in '26 versus '24.
Operator: The next question comes from the line of Randy Konik with Jefferies.
Randal Konik: I think, David, for you, you had a meaningfully more constructive tone around the FootJoy business. It seems like all the efforts around product architecture, the FitLab are really paying off. So kind of maybe walk us through a little deeper on where we are with the FootJoy business. It seems like people are moving towards the premium products. And then after that, can you give an update on Japan and Korea? I think you said Japan will be up this year. I think that's a change. Korea flat to an improvement from down. But that -- you talked about apparel and footwear still languishing a little bit in those markets. Maybe give us an update on where we go from here with those markets in those categories.
David Maher: Yes. Great. Thanks, Randy. So starting with FootJoy, we noted a year or so ago that coming out of what was an 18, 24-month correction period in the footwear industry following the pandemic surge, right? We had a whole lot of demand and just the way that supply chain works, we chased that demand as an industry. Demand normalized yet supply kept running. So we had an inventory correction issue that we dealt with as an industry, we feel we got through it about a year or so ago. So what it meant for FootJoy and FootJoy has got a wonderful long history, over 100 years, been the #1 shoe in golf for over 75 years. So we continually lean into the high-performance heritage of that brand as we think about innovation in the future. And we said a while ago, we're going to be more focused on the bottom line than the top line, again, coming out of this correction period. The team has done a really nice job of that. I made the comment earlier that while sales were down slightly, it really is -- it was a commentary or a function of lower closeout reduced volume sales. So I've called out a handful of our products, whether it's Premiere, whether it's Traditions, whether it's HyperFlex or Pro/SL. We're really leaning into our premium performance products, and we're rationalizing the product line down at some lower price points and raising the floor, if you will, on some of the lower price points. So structurally, we like where we are. I haven't really commented about what's happening with apparel, but it's a similar story. And the team is doing a really good job. So I'm pleased with the direction and trend lines of the FootJoy business, again, moderating top line, slower top line, but a more accelerated bottom line. The caveat to that is, of course, tariffs. So that business, more than others, heavily burdened by tariffs. We're doing a good job mitigating, offsetting the best as best we can. And then the final piece is FitLab, right? We're -- we've benefited as a company with ball fitting and club fitting going back into the '90s. Footwear fitting has arrived in full force with footwear, both in the U.S. and around the world. So FitLab is just another -- is another -- I talk a lot about products and services. That's another service, that helps optimize our products and make sure golfers have the very best experience, whether it's from a performance standpoint or a fit standpoint. So that's, again, high level on FootJoy. Your comments, Randy, on Japan and Korea, maybe just some level setting. Both those markets, we had some nice growth in equipment in certainly balls and clubs in 2025. Gear, wearables, FootJoy softer businesses. We run a Korea, Asia specific apparel business, Titleist apparel over there. So we've been pleased with the equipment business in Japan and Korea, but wearables have been soft for us and the industry. I'll make a couple of comments about Japan as we look ahead. We do expect growth, again, similar led by equipment, maybe tempered expectations in gear and wearables. And similar to Japan, we -- really a similar story in Korea, where we're a little bit more bullish about equipment and are taking a tempered measured, conservative outlook vis-a-vis wearables and footwear. So -- but in terms of rounds of play and what's happening in those markets, if I look at Japan, up slightly, rounds up slightly, that's a positive last year, up about 10% versus 2019. Korea is a little bit of a different story, similar, about last year, up about 20%, 25% versus 2019. So healthy markets, equipment landscape similar in Asia as it is in the U.S., the key differentiator is really wearables. Footwear and apparel has been softer for the last couple of years, which leads to our tempered expectations in those segments.
Randal Konik: Super helpful. Just last question. A lot of the commentary has come through around, I guess, pricing. So is your view that the -- we still are in a very firm pricing environment across all categories, it looks like, in particular, balls and clubs, it feels pretty good. The consumer is very much willing to pay higher prices for more innovation, et cetera?
David Maher: Yes. We're careful, right? We've said this before. We're careful with pricing, but we're dealing with the realities of input cost and distribution costs and labor and all that, but not to mention tariffs. So as we think about pricing, we took action more notably with FootJoy and gear in the second half of '25. You'll see some pricing action in equipment in the first half of '26. Yes, our job is any time you take price, you got to work a little bit harder to show value and whether it's improved product or a better fitting experience. We don't take it lightly, but so far, so good in terms of how we've both mitigated higher cost and in -- within that had to pass along some of those costs. So we don't take it lightly, but again, so far, so good. And again, first half of '26, you'll see some equipment price increases across our lines really attached to new club products. And then on golf balls, it's going to be more a U.S.-Canada story around Pro V1, where rest of world, we took some pricing measures last year. So we're trying to be thoughtful and strategic. We look at it case by case. We look at it market by market. But so far, so good. But again, as I said, every time we take price, it compels us to work a little bit harder on the product side and the experience side to make sure we're showing value.
Operator: The next question comes from the line of Joe Altobello with Raymond James.
Joseph Altobello: First question on the quarter. I was not expecting 19% club growth. And based on your guidance, I'm not sure you were either. So maybe talk about what drove that upside? Was there a timing issue? And why didn't we see that flow through on the EBITDA line?
Sean Sullivan: Yes, Randy, I'll take it, Sean. I'm sorry, Joe. So yes, no, I think we saw in the quarter top line, we saw better-than-expected performance across all segments. particularly in clubs, as you called out, just really great execution by the team, continued strong demand. I think David talked about the T-Series iron. So just really pleased with how that played out. So as it relates to the conversion rate, again, we had the impact of tariffs in Q4, as you know, was $15 million, the largest quarter of the year against the total of $30 million. So not particularly a surprise to us in terms of how the bottom line delivered relative to our expectations.
Joseph Altobello: Okay. That's helpful. Maybe on the subject of tariffs, I think you mentioned this morning, $70 million total, so that's, call it, $40 million incremental. How much of that is IEPA?
Sean Sullivan: That is all IEPA. The incremental $40 million is the IEPA tariff. So as I said in my prepared remarks, we're going to -- similar to the approach we took last year, we're going to let things settle in, and we'll update you as appropriate rather than trying to follow the towing and throwing on this topic. So that's the current situation.
Joseph Altobello: Have you filed for a refund yet?
Sean Sullivan: No, we have not. But we're obviously monitoring the market, obviously, talking daily with advisers and assessing our approach and the ability to get a refund for sure. So still early days.
Operator: The next question comes from the line of Matthew Boss with JPMorgan.
Amanda Douglas: It's Amanda Douglas on for Matt. So David, with the healthy golf industry backdrop, as you cited, could you speak to your top priorities into 2026 to capture additional market share within the equipment category? And specifically, any initial feedback you've received from channel partners on your new launches as we look ahead to the core selling season?
David Maher: Yes. Amanda, so just in terms of how we think about growth and share, I'll really bring it back to really what our core principles are, and that is, number one, get the product right, get it as good as we can get it. We validate it through the pyramid. And then we really invest behind our fitting experience. So we're trying to bring to golfers great product, and a world-class fitting experience that helps them decide that what we're bringing to market is better than what's in their bag, and that's it. So no magic tricks up our sleeve beyond get the product right, get the golfer experience right. Within that, we work real closely with our trade partners to educate them, to partner with them to make sure our golfer connections are effective and working. So that's as much the long-standing proven playbook. Amanda, help me. Part 2 of your question was about what? Repeat that, please.
Amanda Douglas: Just any feedback you've received from channel partners on your new product launches.
David Maher: So I'll just level set. It's February in the golf industry. Most of the industry is still under cover of snow as we are here. But early days, we like. We've launched a whole series of golf balls as planned, as expected. We're pleased. Almost too early to say on wedges and putters. Those are just arriving in the market here now. So I don't have a lot of great color to talk about how new products have been received. But what I can say about the market is when the weather is okay, people are playing golf. And when it's not, they're not. So we had a little bit of some ice storms across the Southeast in January, as you'd expect, that slows things down. But it's January. But by and large, when weather is okay, people are playing golf and the game is alive and healthy. In terms of really getting a sense for the market and what's happening. We've always said first quarter is really about shipment in. Second quarter gives you a read on what's happening in the market, how the consumer is behaving and how they're responding to your products. So we tend to reserve our commentary or assessment until a little bit later in the year. But yes, no, for this time of the year, we like where we are with the exception of, again, we're under 3 feet of snow here in New England.
Amanda Douglas: That's helpful. And Sean, just as a follow-up, maybe if you could speak to your overall expectations for gross margins in 2026, maybe relative to the 60 basis point decline in 2025? And any differences you see between front half and back half gross margin drivers?
Sean Sullivan: Yes. Just to reiterate what I said in my prepared remarks, as we look at 2026, we're expecting gross margins to be relatively flat to 2025. So I think in the context of higher input costs and particularly in our Golf Equipment segment as well as the incremental tariff landscape that we've talked about and some of the pricing actions we've taken, we feel very good about the ability to deliver and hold margins flat year-over-year. As it relates to gross margin first half, second half, again, I would guide you to what we talked about in terms of the growth. So seemingly, given what I've talked about in terms of first half sales and EBITDA contribution, I'll leave it to you to model how that gross margin may impact. You're probably going to see slightly higher in the first half, and maybe less so in the back. But overall, on a full year basis, like I said, consistent with 2025.
Operator: The next question comes from the line of Noah Zatzkin with KeyBanc Capital Markets.
Noah Zatzkin: I guess just to kind of follow up on pricing and not only specific to you guys, but across the industry. What are you kind of seeing from competitors in terms of pricing? If you've seen it kind of broadly up, like have you, I guess, heard chatter or have a sense for how kind of retail partners are responding to that? And then kind of like within that framework, how do you think that positions you relative to some others? Meaning, are others kind of been more aggressive on pricing, similar? Just trying to understand kind of the pricing landscape.
David Maher: Yes. So I guess, Noah, a couple of observations. One would be -- and I said this about Acushnet. I do think you could make this analogy to the total industry, and this is just from what we've seen. Again, the early pricing moves were gear and wearables just due to the life cycles of those segments. And we saw industry-wide that play out in the second half of 2025. You didn't see as much pricing action in equipment, balls and clubs in '25. So I think you're starting to see that now. So again, I think our profile and flow is similar to what you'll see in the industry. In terms of what we -- how we think about our positioning in all this, we're a premium positioned product, and we work hard to earn that position. And I know our competitors will as well. But by and large, yes, we are seeing price increases flow through retail. It's early, right? As I've said, it's early, it's February. But we are seeing some price increases flow through retail. I don't think anybody is surprised by that. We all saw that coming in as much as the fourth quarter. But in terms of how it stacks up and how the consumer responds, it really is -- it's going to take a few more months to get a read on how the consumer processes company A versus company B versus company C. But we do believe and feel pretty good about our position and our ability to take price. And I say that principally because of the belief we have in our products and the belief we have in the experience we can bring to golfers. So a little bit of more to follow in terms of how the market reacts, but that's common for this time of year. So I think that's the best we can frame it for you.
Noah Zatzkin: No, that's really helpful. And you touched on this, I think, a little bit kind of as it relates to top line trends across different regions. But anything to call out in terms of maybe health of the sport across international markets? It's obviously early in the year, but any changes in how you're thinking about different markets?
David Maher: Yes. I would just -- a good year for golf in 2025, right? U.S. was up, Canada, U.K., Mainland Europe, up, up, up, all good. So that's the first thing I'll point to. Many of those regions are now in their off-season. So again, I'll have a different answer 2, 3, 4 months from now, but they certainly come in with favorable positive trends. I will say we continue to be -- we see the consumer strongest in the U.S. That's not a surprise. We see durability -- the most durability across equipment, balls and clubs. And we've called out the watchouts of Korea and Japan, notably as it relates to really apparel in those spaces. But that's the regional view. But any time I can sit here in February and say rounds were up in most regions around the world, certainly in Western markets. That's terrific. And just to round out, Japan and Korea about flat last year. So didn't have bad years. They just didn't post the big growth in '25 that we saw elsewhere.
Operator: The next question comes from the line of Doug Lane with Water Tower Research.
Douglas Lane: Staying on around the golf. The resilience is impressive, another good year in the U.S. and elsewhere. But last year, if I remember right, the U.S. started out slowly and then it made it up -- more than made it up in the back half. So why was the difference between the first half and the second half last year in U.S. round of golf?
David Maher: Doug, weather. Yes, really, that's simple. You had some tough weather. You had some tough weather in the Southeast that slowed things down, and that's just a fact of life in the golf business, Mother nature has her say. But that was the issue. We had a slow start due to weather, and then we saw weather normalize and nice to see the comeback in the U.S. market.
Douglas Lane: And have you talked about who's playing the more rounds of golf? Is it more retirees? Is it more people in the South? Is it more amateur, teenagers? Really what's driving the increased rounds of golf, the persistent increased rounds of golf over the last several years?
David Maher: Yes. So we point to -- we really point to the NGF, National Golf Foundation. They do a nice job, collecting data to help us understand the evolving golfer base. It's really coming from all angles, but I would say the avid is certainly playing and alive and well. But the 2 call-outs that, again, there call-outs that I'll pass along would be the fastest-growing segments over the last several years have been women and juniors. So they're certainly providing outsized contribution to the growth we've seen over the last handful of years. And just for context and just using some big round numbers, in 2019, there were about 800 million rounds of golf played worldwide. And that number is going to be just shy of $1 billion this year. So it's about a 23% increase. But in real-world terms, it's 180 million, 190 million more rounds of golf being played today. And as I say that, I'm always compelled to point to the PGAs and the PGA Club professional and the outsized role and contribution and importance of their work in taking care of the game and really growing the game. But that's -- hopefully, that answers your question.
Douglas Lane: No, that's very helpful. And just one more, if I might. We read about and hear about the bifurcated consumer these days where the higher end continues to spend and the lower end seems to be a little squeezed. And you've got a pretty wide variety of products. You have low ticket, high ticket, consumables, durables. So how are you seeing consumer behavior here in your ecosystem?
David Maher: I think we've talked a lot about it in terms of how our products are performing, but I will package your question to sort of point to our dedicated golfer, right? They're avid, they're passionate. They'll play if you can prove to them. If you can prove to them that you've got a better product, they're inclined to purchase it, and it's going to help them play better. So we like the construct and demographic that is this dedicated golfer we talk about. We characterize them as middle class plus. So they're a nice demographic. And we've said over time, they're recession-resistant. They're not recession-proof, but over cycles, we've seen they're committed and avid. So golf has a great consumer. You're right, we have a broad and vast portfolio of products in terms of varying price points. But by and large, we focus on premium performance, and that's where the bulk of our story is. That's where the bulk of our R&D efforts reside. That's where the bulk of our product line is constructed. So -- but I think the heart of your ask is this dedicated golfer, which the company sort of used as the sun to our solar system. And they're a strong cohort for sure.
Operator: The next question comes from the line of JP Wollam with ROTH Capital Partners.
John-Paul Wollam: If we could just start first on G&A. I think last time in November, we were maybe expecting to see some leverage there, just given you have the voluntary retirement program and kind of a good year or 18 months of prior investment. So just curious to see what kind of changed there. It sounds like G&A growth is expected kind of in line with revenue. So are there incremental? What kind of changed?
Sean Sullivan: Yes, JP. So when I look at 2025 versus '24, I think if you normalize for the PTO in '24, you normalize for the ERP and some of the onetime things that I talked about, I think we have effectively delivered OpEx growth at less than the rate of sales. So I feel good about that in terms of '25. And I think as you -- as I talked about for OpEx in '26, again, we have some incremental expense as well, but overall, expect growth to be in line with sales. So again, we're making progress and delivering incremental benefits. And again, it's not a onetime unlock that's going to happen here. I think you're going to start to see that gradually over the coming years in terms of delivering operating leverage.
John-Paul Wollam: Okay. Understood. And just one follow-up on tariffs. So understanding that it's obviously an extremely fluid situation. But if I think about kind of the -- what we maybe discussed as sort of the 4 levers to offsetting, pricing, vendor cost sharing, some G&A leverage. And then I think we talked about maybe being able to tighten some advertising and promotional expenses. And so really, the question is, as you think about the '26 guide, is there any tightening in terms of the advertising and promotional that if tariffs went away in the next 3 to 4 months, like you actually have an opportunity to invest more there and could see some top line upside? Is that -- how are you thinking about that?
Sean Sullivan: Yes. I guess how I'm thinking about it is I feel really good about the guide, feel really good about the performance of the business, the ability to overcome the incrementality of the tariff landscape, albeit obviously seemingly changing. But now, we are continuing to invest in A&P. You'll see it in the filings. We increased A&P in '25, not significantly, but low single digits, and you've seen that the last couple of years. So we have incredible confidence in our Golf Equipment franchises in FootJoy. So we're going to continue to invest behind those. Certainly, given the -- as David said, it's early. It's February. But overall, we're not using this as an opportunity to pull back on A&P to support our long-term growth. So I think it's business as usual despite the tariff landscape. And again, we'll have to see how the year goes by, but we feel good about the guide in the context of all those.
David Maher: Thanks, everybody. As always, we appreciate your time and interest this morning and look forward to getting back with you in a few months to provide updates on the quarter.
Operator: Ladies and gentlemen, thank you for attending today's conference call. This now concludes the conference. Please enjoy the rest of your day.